Operator: Greetings, and welcome to the Liberty Media Corporation and Atlanta Braves Holdings 2023 Year End Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Shane Kleinstein, Senior Vice President of Investor Relations. Thank you, Shane. You may begin.
Shane Kleinstein: Thank you, and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Form 10-K filed by Liberty Media and Atlanta Braves Holdings with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Media and Atlanta Braves Holdings expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media or Atlanta Braves Holdings' expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media, SiriusXM and Atlanta Braves Holdings, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media, SiriusXM and Atlanta Braves Holdings schedules one through three, can be found at the end of the earnings press releases issued today, which are available on Liberty Media and Atlanta Braves Holdings websites. Now, I would like to turn the call over to Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you, Shane, and good morning to all. Today, speaking on the call, we will also have Formula One's President and CEO, Stefano Domenicali; and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling. Also during the Q&A, we will answer any questions related to the Atlanta Braves Holdings and Braves management will be available too. So let me begin with Liberty SiriusXM to the LSXM, Sirius transaction is on schedule where we filed the preliminary proxy on the 1 -- January 30 rather. We still expect to close by early Q3. And the NAV discount, which was about 42% prior to announcement is now close to about 25% as we had hoped. And we expect it will continue to close. Looking at SiriusXM itself, the strong operating and financial performance that it had in 2023 show the durability of the business. Self-pay net-adds were up in the second half is expected boosted by streaming. The strong margins and free cash flow generation remained largely through cost discipline. Importantly, they've rebuilt their tech stack and relaunched their app in the fourth quarter. And we're beginning to show positive early results from that with better personalization, promising engagement and improved service quality. We believe these initiatives as well as the incremental content they added will continue to drive long-term growth. Looking at the 2024 priorities of the business. First, increasing 360L adoption, and boosting conversion and retention, continuing to deliver engaging content, recently they signed the quite popular SmartLess podcast with Jason Bateman, Will Arnett and Sean Hayes. We do expect self-pay net add improvement throughout the year, and there is a focus on maintaining stable EBITDA margins and free cash flow. I look forward to remaining involved personally in the next evolution of the business as Chairman and a shareholder. Turning to Formula One Group, an amazing 2023 at F1. We saw double-digit growth across all revenue streams and adjusted OIBDA up 22%. We're seeing a strong commercial start to the season for our race promotion renewals including Silverstone, a 10 year deal with venue upgrades in our important heritage market. And a new race in Madrid beginning in 2026, which will be a partial street race with convenient fan access. We do see continued growth in fandom. Recently, this week F1 joined Threads and 2.8 million followers were on-boarded the platform after half a day of use. We closed the Quint acquisition in January as we previously noted and that growing partnership opportunities from Quint with F1, LVGP and other sports properties, including the Kentucky Derby, and the NBA All-Star Game. Let me turn to a minute to Vegas. It was an incredible race. We were fortunate to have such a great outcome with a record 181 overtakes and the podium came down to the final lap. It was a great result for Formula One. It created new commercial opportunities and generated fantastic global buzz. A high percentage of the first-time F1 attendees and massive audience has tuned into this race, improved marquee brands to F1, for example, American Express, T-Mobile, Moet Hennessy, Google, and we think these brands and the marquee aspects of that page of joining Vegas will continue to help us in 2024 and beyond. It was also hugely successful in the local community. The total economic impact of the race was estimated at $1.2 billion and an average visitor spent 3.6 times what a typical visitor spends for a non-F1 event. We look forward to building on the success of LVGP in 2024, for example. We're going to increase the GA and expand other product offerings at various price points. We're going to optimize the cost structure. The year-round commercialization efforts at Grand Prix Plaza are developing, but we will expect only a modest contribution from those in 2024. Corporate events at that site kicked off around the Super Bowl this year. In summary, the Vegas race exceeded our expectations on many levels, even though year one cost came in higher than we had anticipated. We do not intend to close -- disclose race specifics on this race consistent with our practice across all races. I would note that the kick, we are kicking off the F1 season with testing in Bahrain, which occurred and look forward to the first race in Bahrain this weekend. Turning to Live Nation. 2023 was the biggest year ever, where there were all-time highs for attendance, ticket sales and sponsorship. Concert attendance grew 20% with 145 million fans. Global demand for concerts continues to grow. The top 50 tours did 50% more international acts in 2023. We have an incredible pipeline for 2024 with no sign of consumer slowdown. We're seeing strong demand across all price points. For example, large venue shows were up double-digits and 65% full-year large venue shows are already booked versus only 50% last year at this time. The number of shows at amphitheaters and other operated venues will also increase in 2024. Let me turn to the Braves. Obviously, it was an incredible team performance in 2023, so much to highlight. I'll do one, the 947 runs scored was the first in MLB and a tightened MLB homerun record as well for the team. The Braves also experienced great financial growth for the year. Baseball revenue was up 9%. How we see continued success results in higher payments under MLB's revenue sharing plan, so that is the one negative about our continued revenue growth. But I'd also note the Battery revenue was up 10% and our adjusted OIBDA was up 11%. We clearly benefit from the strength of the Braves territory. In a recent study by YouGov, the Braves have 8.4 million fans in the South region, number one in MLB. And over 65% of all other local sports team fans support the Braves, which is the highest crossover of any fandom in Atlanta. We're seeing encouraging early season trades, including for seven-time All-Star Chris Sale and outfielder Jarred Kelenic. We are well-positioned for future commercial and on field success. For example, 2024 season tickets already sold out and there is a 16,000 person waitlist. We are looking forward with bated breath to the home opener against the D-backs on April 5. And with that, let me turn it over to Brian for more on our financial results.
Brian Wendling: Thank you, Greg, and good morning everyone. At year end, Liberty SiriusXM Group had attributed cash liquid investments and monetizable public holdings of $90 million. This excludes $216 million of cash held directly at SiriusXM. During the quarter, Liberty SiriusXM repaid the remaining $199 million outstanding principal of its 1.375% basket convertible notes using cash-on-hand. Also during Q4, Liberty SiriusXM paid down $80 million under the margin loan, $61 million of which was from the monetization of its 1.8 million BATRA K shares. At quarter-end, there is $1.1 billion of undrawn margin loan capacity at the parent level related to our SiriusXM margin loan. As of February 27, the value of our SiriusXM stock was $10 billion -- $15 billion. We have $1.3 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $11.1 billion, which includes $9.3 billion of debt held directly at SiriusXM. Turning to the Formula One Group. At quarter-end, Formula One Group had attributed cash and liquid investments of $1.4 billion, which includes $1 billion of cash held directly at Formula One. Note, the Quint acquisition closed in January, which would be a use of Formula One Group cash. Total Formula One Group attributed principal amount of debt was $2.9 billion, which includes $2.5 billion of debt at Formula One, leaving $533 million at the corporate level. And F1's $500 million revolver remains undrawn and leverage at the end of the year was 1.9 times. As we've said in the past, the F1 business is best analyzed on an annual basis, so we'll only be speaking to full-year results. Total revenue grew 25% in 2023 with double-digit growth across all primary revenue streams. Year-over-year revenue increases include the significant revenue generation from self-promoting the Las Vegas Grand Prix, including ticketing revenue which is included in race promotion, sponsorship revenue which is recognized accordingly and hospitality and experienced income, which is included in other F1 revenue. Race promotion revenue also benefited from the mix of events held compared to 2022 with two additional flyaway races this year with Qatar and Las Vegas versus ML and France in the prior year. And sponsorship and media rights revenue grew due to increased fees under new and renewed commercial agreements. Other F1 revenue grew 42% or $196 million, driven by hospitality and experiences, largely attributed to the Las Vegas Grand Prix, as well as growth in the Paddock Club and other events, partially offset by reduced freight income due to easing of freight cost inflation. Team payments as a percent of pre-team adjusted OIBDA as reported was 63% in 2023, down from 66% in 2022. Other costs of F1 revenue increased from 23% of total revenue in the prior year to 32% of total revenue this year. Primarily driven by promoting, organizing and delivering the Las Vegas Grand Prix, as well as increased costs servicing additional hospitality offerings. SG&A, 7% of total revenue was in line with historic averages. Corporate and other adjusted OIBDA was a loss of $39 million in 2023, which includes the $15 million of revenue for use of the pit building during the Las Vegas race weekend. Formula One incurs a fixed monthly rent payment that approximates depreciation plus a variable rent component during the race weekend. Note that the fixed rent payment 2023 reflects only a portion of the year as the building wasn't occupied until closer to the race weekend. Corporate-level expense at Formula One Group was also elevated due to the split-off and reclassification costs. In 2024, Formula One Group corporate and other adjusted OIBDA will benefit from the Quint acquisition that closed in January as well as the full year of the rent payments. Looking to 2024, F1 will host 24 races with the return of China and Imola compared to 22 races in this past year. Quickly looking at a few cash items, F1 estimated cash tax rate in '24 to be a high-single-digit percent of F1 adjusted OIBDA increasing towards low double digits in future years as a result of the UK tax rate increase. Total CapEx incurred at the Formula One Group in 2023 was $426 million, approximately $390 million of which related to the development of LVGP, with the majority incurred at the Formula One Group corporate level. At the Liberty Live Group, there's attributed cash liquid investments and monetizable public holdings of $418 million, which includes the ETF assets. There's $400 million of undrawn margin loan capacity related to our Live Nation margin loan. And as of February 27, the value of Live Nation stock was $6.5 billion. We have $1.2 billion in principal amount of debt against these holdings. Liberty and our consolidated subsidiaries are in compliance with our debt covenants at quarter-end. And then quickly looking at the Braves, the Braves business is also best analyzed on an annual basis due to fluctuations in game count. Baseball, revenue increased 9% in 2023, primarily due to increased ticket demand and attendance, leading to a 14% growth in baseball event revenue and 8% growth in retail and licensing revenue. Other baseball revenue declined primarily due to fewer concerts held compared to the prior year. The Battery had another great year with mixed-use revenue increasing 10%. Total adjusted OIBDA decreased for the year, primarily due to increased player payroll expense as Braves management continues to invest in its on-field success, including a number of trades and accelerated player signings in December of 2023. Adjusted OIBDA for the mixed-use development increased 11% in 2023. And just a reminder that SG&A was elevated for the full year due to the split-off costs, we would anticipate a $10 million to $15 million annual run-rate for corporate overhead at the Atlanta Braves Holdings. With that, I'll turn it over to Stefano to discuss Formula One.
Stefano Domenicali: Thanks, Brian. The 2023 season delivered incredible racing and record financial results. On the track, we want to recognize Max Verstappen and Red Bull once again on their superb performance. The rest of the grid battled until the end. The race for the second in the constructor championship came down to the final lap of the season between Mercedes and Ferrari. McLaren and Aston Martin battled for fourth, with McLaren intensifying the competition after a solid midseason upgrade. Oscar Piastri had a stellar rookie season, securing 97 points, included two podiums and a sprint race victory. And Albon fans had much to cheer about as he scored points in a number of races in 2023, helping Williams finish 7th, showing good progress under James Vowles' leadership. Across the entire 2023 season, six teams were represented on the podium, a reflection of the talent up and down the grid. The new regulations are increasingly benefiting competition across the field and we believe this will continue in 2024 as the benefit of the cost cap and the technical regulation continue to mature. Financially, the business generated record revenue and Adjusted OIBDA for a year. Our primary revenue stream grew benefiting from new and renewed commercial agreement. Furthermore, our Paddock Club had an incredibly strong year with hospitality and experiences revenue growing nearly 100% year-on-year. This was driven by the expansive suite of hospitality and experience offerings at Las Vegas Grand Prix as well as growth in our core Paddock Club product with the Paddock Club sellout at 10 of 19 events. Towards the end of the season, we had the spectacular inaugural Las Vegas Grand Prix. It was a formidable undertake in moving the project from startup planning to raise delivery in little more than one year. We are incredibly proud of the Las Vegas team who worked with multiple stakeholders in the city and within the wider F1 community to deliver an incredible event on and off the track. Total ticket sales were 316,000 for the weekend. The race was trading from the start to finish. Charles Leclerc passed at Paris on the last lap to secure his second-place finish. The race generated fan reaching multiplatform buzz and drew in new viewers who hadn't engaged all season. The local economic benefit generated by this race is remarkable. Local casino partners had record revenue with monthly gaming revenue for Clark County at all-time high for the month of November. Stepping back to the broader calendar, the 2023 season overall delivered another year of record attendance. 6 million total fans attended the race weekend, up 5% compared to the 2022 season. 12 race promoters reported new attendance as record including 480,000 at Silverstone, 445,000 at Melbourne, 405,000 in Mexico and 308,000 in Belgium. Race attendance remained strong through the end of the season with record crowds in Sao Paulo and Abu Dhabi. F1 fans tuned in across platform. Last season, we worked closely with our media partner and created new tools to estimate digital viewership on platforms and channels not covered by Nielsen. Our findings suggest an additional 29% of audiences are not currently covered by traditional measurement globally, representing almost 20 million on average per race weekend. The share of digital viewership is much higher for markets like the U.S. where fans rely more on video on demand and streaming platforms to watch races, especially those at less convenient times for live viewing. We will keep working with Nielsen this year to incorporate more of these digital audiences into their standard reporting to provide the most accurate picture of our total audience. Looking at broadcast TV, cumulative TV audience for the 2023 season excluding digital viewership was 1.5 billion and average viewership per race was approximately 70 million. In the U.S., cumulative viewership was up 40% -- 4% compared to the prior year, setting a new season cumulative TV audience record. Importantly, viewership among the under-35 and female demographics grew across all of our markets. Our sprint series continued to drive increased engagement throughout the season which boosted TV audiences and race weekend attendances. For our sponsor, there was an over 50% increase in average brand exposure during the sprint weekends. We look forward to the sixth event in 2024. Formula one was once again the fastest-growing major sports league on social media for the fourth year in a row with the highest growth rate compared to the 11 other global sports including NBA, NFL and Champion League. We grew to 70.5 million followers on social media, up 17% from the prior year with continued growth especially in U.S. where social media follower were up 28%. The U.S. continues to make up our largest audience on YouTube and TikTok social platforms. For our F1.com and F1 app platforms, over 100 million unique visitors viewed over 3.1 billion pages, an increase of plus 10% over 2022. Consumption of highlight videos on our web and app also grew by 35%. And we made greater commercial progress in 2023, securing contracts that will underpin our continued future success. As of year-end, we had over $12 billion in future revenue under multiyear contracts. Our momentum continued during the off season and into 2024. Our race promotion, we are prioritizing the quality and the value of every race slot, having reached what we believe is a comfortable near-term max of 24 races. Early this month, we announced 10 years extension with Silverstone and look forward to enhancement to the Paddock Club and other physical infrastructure upgrade at the circuit. We are excited to welcome the Madrid Grand Prix and the 10 years agreement in a brand new circuit with both street and non-street segments from 2026. The race has plans to invite 110,000 fans initially and has potential to expand to over 140,000 over several years. We also announced five years extension for our Japan and Brazil races. With this announcement, we have now finalized all contract negotiation for the 2025 season and will turn our attention to optimize the risk calendar for 2026 and beyond. Additionally, on media right, we are delighted to have recently secured a long term pan-regional deal across the MENA region with its biggest sport platform being sport. This is on the heels of over half of those renewal signed in 2023. F1 continues to benefit from the demand for live global premium content. We are broadcasting 200 territories and have a well-diversified portfolio of media rights contracts across markets typically ranging from three years to five years. As we have said, alternative bidders, including digital players, are increasingly showing interest in live sports and increases competition from scarce media rights. Our F1 TV product has grown significantly since launch, with active F1 TV Pro subscribers growing 37% in 2023 compared to 2022. The product has been bolstered by growing in the F1 calendars, F1 sprint races, new in-depth shows, all 20 onboard cameras, team radios and continuously adding live programming around every season plus a revamped mobile-friendly design. We believe it delivers the best in class product for fans and is now available in 120 countries. Early this year, we rolled our price increase in the cross-market for the first time since product launch in 2018 to bring the pricing in line with the market rates for the qualifying of the offering. Turning to sponsorship, we had successful 2023 in growing exact -- existing partnership while securing new brands including leveraging new assets like Las Vegas and F1 Academy to generate incremental demand. Puma and Tommy Hilfiger recently announced as official partner of F1 Academy and we'll have designed Liberty for the season and beauty brands like Charlotte Tilbury also became an official partner of F1 Academy, marking their first EE ever global sport partnership. We also announced an attractive multiyear renewal with our global partner DHL this week. Going forward, we are optimizing our existing inventory to maximize impact, exclusivity and value for our partners. We are also actively creating new assets to capitalize our growing demand and sponsor preference for tailored opportunity in live events. There are targets vertical where we are underexposed, including financial services and betting to name a few. Our fan engagement activities off the track continue to gain momentum. F1 Arcade's first location in London recorded 400,000 visitors in its first year and a second UK location opened in Birmingham. The first U.S. venue will open in Boston and DC this year with 20 venues targeted over the next five years. The F1 exhibition moved from Madrid where it welcomed 170,000 visitors. It opened its second location in Vienna early this month and will continue touring iconic global city to inspire the next generation of F1 fans. Sustainability remains a large priority for Formula One across our organization, commercial partner and F1 teams. More detail will be provided in the coming weeks detailing our progress towards reaching the sustainability strategy we laid out in 2019. There are a number of sustainability accomplishments to highlight from last year. To name a few, progress continuing to develop over 100% sustainable hybrid fuel that will be introduced in 2026 and will be a drop in fuel usable in road cars without modification, which provides broader global benefits to the automotive industry well beyond the impact of Formula One. The nine European events of the 2023 season used the freight transportation by DHL on a new fleet of biofuel truck, reducing related logistic carbon emission by 83%. The first cohort of students from F1 engineering scholarship embarked on their first work placement with the F1 teams. We will welcome the third cohort this year. Finally, we launched F1 Academy, the all-female driver category to develop and prepare young female drivers to progress to higher levels of competition. The second season in 2024 will see F1 Academy race as a support series at seven F1 events. The F1 teams are getting more involved in supporting the series. In 2024, all 10 will have their liveries displayed on one F1 Academy car each and will each nominate one female driver to race in the cities. We look forward to beginning our 2024 season next month. The '24 race calendar has greater regeneration and more efficient close of races which reduce the distance our freight kits travel globally in support of our 2030 net zero commitment. China returned to the calendar for the first time since 2019. The six sprint series will take place in Miami, Austria, Austin, Brazil, Qatar and China. We made small changes to the format this season with sprint qualify on Friday, sprint race followed by race qualifying on Saturday and the Grand Prix as normal on Sunday. And much to the delight of our fans this off-season had certainly delivered excitement. Young talent secured seats for years to come with Charles Leclerc committing to the Scuderia at least through 2025 and Lando Norris remain in McLaren at least through 2026. Capturing headlines Lewis Hamilton will leave Mercedes for Ferrari in 2025 after an incredible 12 seasons with the Silverado. In closing, I'm incredibly proud of the accomplishment in 2023 and eager to begin our '24 season. We have a solid financial foundation and an attractive growing fan base. Our team is focused on deepening this fandom with optimized content and platforms to boost engagements while capturing more fans data so we can better tailor our commercial outreach. These efforts are spread across protecting our established fan, nurturing newly acquired fans, and growing into new cohorts, especially younger audiences and underserved growth markets like Asia. We will continue to invest in our sport to capitalize on our incredible momentum. Avanti Tutta full speed ahead. And now, I will turn the call back over to Greg. Bye-bye. See you.
Greg Maffei: Thank you, Stefano. And thank you, Brian. To the listening audience, we appreciate your continued interest in Liberty Media and the Atlanta Braves Holdings. And with that operator, I'd like to open the line for questions.
Operator: [Operator Instructions] Our first question is from Ben Swinburne with Morgan Stanley. Please proceed with your question.
Ben Swinburne: Thanks. Good morning, and congratulations to Renee and the Las Vegas team on a great race and outcome. I know that was a lot of work. Greg, I had a couple for you and maybe one for Brian if he's willing to entertain it. You mentioned optimizing the cost structure in Las Vegas for year two. I just maybe could spend a minute on what the opportunities are. And even if you're willing to tell us where in the P&L that might show up between kind of G&A at F1 versus direct costs? Any thoughts on a new Concorde Agreement that had been something you guys had talked about trying to execute last year? Just curious if you had any update there. And then, Brian, I didn't know if you had any guidance for us on CapEx at F1 in '24 now that everything is sort of built, but you probably have some maintenance costs on all these new assets. So that was it. Thanks so much.
GregMaffei: Ben, I'm going to touch on the optimizing the cost structure, then let Renee add to it. And on the Concorde Agreement, I'll let Stefano cover where we stand. So on the -- optimizing the cost structure, look, because we moved with real speed to try and get Las Vegas up in a record time, many things were done to accommodate a great fan experience and make sure we got done on time. And with the benefit of more time, there are many things we can optimize there. For example, there is a temporary structure, a bridge that was put over one of the roads that will become, that was our cost, that will not be re-incurred. There are -- there was work that was done around ensuring great security, I think we'll learn how to do that in a more cost-effective manner, but I'll let Renee touch on other items that she thinks we might be able to save on.
Renee Wilm: Sure, thanks, Greg. So, to Greg's point, we really did lean in transportation planning and security. No one knew just how traffic would flow, we were hoping for the best and planning for the worst. And it did turn out to be significantly better than anyone feared, that will hopefully allow us this year to start looking for areas that we can cut back in. We also have the benefit in year two of having a playbook. Again, we had to lean in and then experience, and other events that would allow us to create, that inaugural race weekend that we needed for year one. But this year we are looking very closely at every line item on the budget to see where can we maximize the fan experience and ensure safety while also looking to really cut back on some of those costs.
GregMaffei: Some of that will be -- I think most of that will be direct costs, some of that will be in G&A, but mostly indirectly. Do you agree Brian?
Brian Wendling: I would think most of them - yes, most would be in the operating cost.
GregMaffei: Stefano, do you want to touch on the Concorde Agreement?
Stefano Domenicali: Yes, thank you, Greg. Yes, Ben. So we expect to address the renewal of the Concorde Agreement with the teams very, very shortly. We are -- our view that is basically shared with the things that basically the Concorde Agreement would need -- would not need any substantial changes this time around. So we're going to start very, very soon. We have priority to finalize before the end of the season talking about regulation and other stuff with regard to other things that need to be solved before. So, now we're getting close to the time where we're going to start this discussion very, very shortly as I said, Ben.
Ben Swinburne: Got it.
GregMaffei: And then lastly, Ben, on the on the CapEx. We're not going to disclose any specific numbers, but we would expect it to start to trend back to what our normal rate was in the past, specifically on LVGP. The team might evaluate different opportunities where you could, put stuff on the balance sheet versus having it as rentals and OpEx. So those opportunities might arise, but overall, we wouldn't expect it to be overly material.
Ben Swinburne: Thanks so much.
Operator: Our next question is from Bryan Kraft with Deutsche Bank. Please proceed with your question.
Bryan Kraft: Hi, good morning. I had one for Greg and Stefano, and Brian. Greg. I was wondering if you could walk us through the steps that you still need to take in order to close the spin merge in SiriusXM. Stefano, I was wondering if you could just clarify would the Madrid Grand Prix bring the race count to 25 in 2026 or it will substitute for Barcelona or another race. And then also, Stefano, If you could just comment -- I mean, just qualitatively on the media rights outlook, it seems like 2024 will be a lighter year from a media rights revenue growth standpoint based on the renewal schedule and then a stronger year in '25, I just wanted to see if that was right. And then the last one I had was for Brian. Brian, I was wondering if you could just help us with some baseline numbers for Quint event so that we could try to model that correctly. Any estimate of revenue and EBITDA from last year and any color on seasonality. Thanks.
GregMaffei: So, I'll touch on the first one. We received initial comments from the SEC on the proxy. I think those were relatively light, credit the legal and accounting teams for answering those, having a proxy that was clear and transparent, and we'll be able to answer those relatively quickly. So, that will need to be cleared, the final proxy by the SEC, before we can go forward with a vote at the Liberty Siri level. We also have a parallel process with the FCC that I think is relatively pro forma. We do not believe that will be the long pole in the tent. So, we're still targeting early third quarter, some chance we may be able to get it done quicker, but we're trying to manage your expectations and ours. Next question -- for the next part of the questions.
Stefano Domenicali: I would say. I think I can come in, Greg, to answer, Brian, to the point on Madrid; Madrid 26 and that is a year where there will be a lot of Grand Prix where mainly Europe we have different options that we can take over. Therefore, I think Madrid shows, one thing that was very important for us to see that the attention, that's one, is that there also in in the Old Continent where everyone was thinking, oh, we need to move out of Europe, because there's not any more interest, Madrid showed the opposite. I think in '26, you are going to see something interesting. We are discussing with other promoters in Europe to do something that will be announced as soon as we close for sure, but Madrid will be a big boost, because the event will be organized in a place where, as Greg was mentioning at the beginning of his speech, will be in sort of track and place where we'll be around the convention area to allow to give the opportunity to the fans to lead that event in an incredible way. But, of course, so far, the focus in Spain is in Barcelona, it is a big commitment to do a great Grand Prix there in the next couple of years. But with regards to the media rights, I would say there are two points that I think that we cannot consider light the 2024, because we just signed a very important deal will be in for the next 10 years and we do believe that also the F1 Plus TV were going very, very well this year. So, I think that for sure is in the year, what you're going to see another growth and of course, we are getting ready for a very important year when in the future in two years' time, there will be the media deal in U.S., that will be a very important deal, we need to discuss in the right moment, where we going to believe -- where we believe this will be another step in term of our growth in that landscape.
Brian Wendling: Yes, and then Bryan, on Quint, we're not going to give the 2024 numbers, but what we would say is that the acquisition should be accretive to the Formula One Group overall. So, you can kind of do the math from there. It's not overly material to the Formula One business, but it should be accretive going forward.
Bryan Kraft: Thank you. Maybe just one follow-up for Greg. Just, Greg, what's the amount of time you need between SEC approval for the proxy and then the vote closing the transaction?
GregMaffei: Circa two months.
Bryan Kraft: Okay, got you. Thanks very much. I appreciate it.
Operator: Our next question is from David Karnovsky with JPMorgan. Please proceed with your question.
David Karnovsky: Hi. Thank you. For Gregory and Renee. I think you're Vegas Hotel Partners were consistent in their views on their earnings calls that the race should have a broader appeal and benefit some of the lower-end or further properties on the strip. So, interested in how you're thinking about potentially accommodating that and what it means for the race in terms of ticketing or operational adjustments. And then for Brian, F1 operating leverage for the year is a little better than I think some investors had anticipated. In the release, you called out a reduction in the team payout percentage as per the 2021 Concorde, just want to make sure that was the main driver there weren't kind of any one-time adjustments to consider.
GregMaffei: I'll let Renee, touch on the Vegas Partners.
Renee Wilm: Yes, thanks for the question. So we will be going on sale pretty soon. And when we go on sale, you'll see that we have a significantly higher number of general admission. We're actually creating a brand new general admission-only zone, which will have single-day tickets and will be at the lowest price point, that you all have seen for the Las Vegas Grand Prix. This is largely driven to accommodate the lower-end properties and also to bring downtown into the mix. We are also working in partnership with the LVCVA to actually engage downtown, different types of activation potentially watch parties, but really to spread this benefit of what was an incredible weekend throughout the entirety of the Valley.
GregMaffei: And then on the F1 operating leverage, to your point, it primarily as the team fees, there's lots of ins and outs, but there's no material one-time items.
David Karnovsky: Great. Thank you.
Operator: Our next question is from David Joyce with Seaport Research Partners. Please proceed with your question.
David Joyce: Thank you. I just wanted to try to get a finer point on the team payments there, would Quint be excluded from team share payments or with some of those activities if they are only F1 related be involved. I guess, the same would go for any other acquisitions, where there any tuck-ins be outside of the Concorde Agreement. And related to that, how are you balancing reinvesting in the business now versus thinking about capital returns from here? Thanks.
GregMaffei: So, I think Quint has an arm's-length deal existing prior to our purchase with F1. And we would expect that arms like deal to continue, but the Quint results are part of the one tracking stock now part of F1. And that would likely be the case for any other acquisitions. Can't say absolutely, because it would depend on the company, but likely that would be outside the F1 Group or the F1 operating statement shared with the teams. We continue to weigh opportunities like Vegas. Obviously, we look at lots of sporting properties. We think we have something to bring to the sporting world based on what we have been able to achieve at F1, and we think there are some things that we could bring forward to other sports properties, but we're judicious in that and people approach us because of those skills. Certainly, looking at continued share repurchase is an alternative as well, and we weigh third-party alternatives that we might -- that might arise with that.
David Joyce: Thanks. And if I could add one on the Braves, if we could just get an update please on where that -- the process is with the bankruptcy courts and the RSNs? Thanks.
GregMaffei: Derek, do you want to touch on that?
Derek Schiller: Sure. Thanks for your question. We're watching that closely and what we see is the bankruptcy presentation that was made is still being followed. Diamond Sports seems to have a plan for emerging from bankruptcy, as you've probably read. We're watching and seeing that just like you are. For our purposes, we're still getting full payment, and operating the agreement as normal. So at this point in time, nothing is deviating from that and we don't expect that, especially as they've laid out for their plan.
David Joyce: All right. Thank you very much.
Operator: Our next question is from Barton Crockett with Rosenblatt Securities. Please proceed with your question.
Barton Crockett: Okay. Thank you for taking the question. I'm just wondering on the EBITDA growth year-over-year. I understand you're not going to break out Vegas in any specificity, but is there any comment you can make on whether or not Vegas provided any material impact on that EBITDA change? Did it up down or was it no impact? Because that was very big kind of year-over-year growth and that was a new race that was obviously meaningful. So that's one. And then secondarily, the -- following up on the Braves kind of questioning. I was wondering if you could comment on some of the discussion that Major League Baseball is interested potentially in rolling up sports, local team rights or its own kind of streaming service, and that that could potentially be a roadblock or something to be resolved as you go through this Diamond restructuring. So if you can talk about kind of your views, your support for that idea. Thank you.
GregMaffei: So touching on LVGP, I can say that LVGP was a positive contributor to F1's earnings for 2023. And with the cost optimization measures we've discussed, and frankly improved interest in the race and improved potential price points, I think we will see a greater contribution in 2024. I think that's where we'll leave that. On MLB, I think I'm reluctant to comment. You've seen some of the public actions that MLB has was against some of the Diamond proposed restructurings, but other than that, I think we'd leave it alone. Other than, Derek, if you want to add anything.
Derek Schiller: No, the only other thing I might say, just point of clarification. If you're not aware, the current agreement with Diamond does not include streaming rights, so those streaming rights continue to be held at the league level. That's not necessarily the case for all teams, but in our case it is. And so we're obviously deferential to what the league is going to do as a whole. But right now, our streaming remains at the league wide level.
Barton Crockett: Okay. Great. Thank you.
GregMaffei: Thank you.
Operator: Our next question is from Stephen Laszczyk with Goldman Sachs. Please proceed with your question.
Stephen Laszczyk: Thanks. Good morning. Two on Formula One, maybe for both Greg and Stefano. First on Paddock, could you maybe talk a little bit about where you see opportunity to grow hospitality revenues in '24? I'm curious what inning of the pricing increase front we're at for a Paddock, it's been a pretty nice tailwind over the last few years. And then are there any areas across the slate in particular, where you think there's opportunity to grow capacity? And then secondly, on sponsorship, nice growth in '23. Could you maybe just talk a little bit more about the opportunity in '24? How much room do you feel like there still is to increase inventory without diluting the existing sponsorship value add? Stefano, I think you mentioned creating some new assets. I'd be curious if you talk a little bit more about that and what verticals remain large opportunities. Thank you.
GregMaffei: Stefano, do you want to start on hospitality?
Stefano Domenicali: Yes. Yes. Thank you, Greg. Thank you, Stephen. I think that what has been amazing is in the last couple of years, the fact that our offer in term of Paddock Club has been always appreciated by our customer. We did some adjustment on pricing, not everywhere, because, of course, we understand that, of course, the prices are very important and very sensitive things to do or to apply. And therefore, I think that what we have done this year that is basically already confirming an incredible request from our partners and teams and guests, is try to maximize eventual potential of growth in area that there is still availability of space. And the other thing that we are doing is to see if there is another kind of offer that we can put together. Of course, the fact that now we are together with Quint, we're going to exploit the maximum opportunity to make sure that the Paddock Club experience can grow also in the area of entertainment because that's another place where we are exploiting a different way the racing we can experience for our fans. And with regard to the sponsorship, I think that what we have seen the last couple of years has been an incredible growth in term of quality and in term of quantity of our partners. That means that we need to keep having the right attention to this kind of revenue stream, but that means that also we need to be ready to increase our possibility to having the right offer in term of new opportunity. I think that -- one that is pretty clear that we are able to optimize and we have done already last year in a way, has been the digital possibility to differentiate from area to area this different option for our partners. On the other side, of course, there are two main area where we believe there is potential to do, but we need to have the right competencies and we need to find the right partners, consider the complexity. That is -- one area is the gambling and the other areas on the financial services that has been already taken a big step last year with AmEx. But I think there is huge opportunity that we can take into the future. And that's really where I believe in all term that the potential to even grow is still there and will be there.
Stephen Laszczyk: Got it. Thank you.
Operator: Thank you. Our next question is from Peter Supino with Wolfe Research. Please proceed with your question.
Peter Supino: Hi. Good morning. One for Stefano and one for Greg. Stefano, if you wouldn't mind, with Silverstone and Madrid and Sao Paulo and Suzuka all signed in the last quarter, I guess we have seen contracts locked in for five years or 10 years in some cases. So how should we be thinking about the tradeoffs in terms of contract duration, escalators, step ups for promotion rights like this? Curious about the pros and cons and how we can think about that for modeling. And then Greg, if you could please comment on the bigger picture for sports rights. It's become very controversial, this topic that was once only driven by optimists. And if you could let us know how you see sports rights values playing out over the next several years, given the puts and takes of linear and streaming? Thank you.
Stefano Domenicali: Well, Peter, thank you. With regard to the first question, I think, as always, when we take the decision with regard to the renewal, there are a lot of elements that we need to consider. First of all, of course, the financial aspect is relevant, no doubt. And the fact that we are able to stabilize with certain promoter, which we believe represent an incredible opportunity in term of our stability on this market is a relevant element to consider. The fact that in -- you have seen in the last couple of years that we were able to ratify incredible agreement with certain promoters means that there is from one side, of course, a very interesting financial package, but on the other side, an incredible opportunity to develop our business in other areas that are on top of the one that is related to the promotional fee. And that's really our approach. It is clear that if you see the development of our regionalization of the calendar, we have moved out from being European-centric to a very worldwide basic development that needs to be kept into the future. I just want to confirm the fact that we believe 24 races is the right number. And I think that we're going to play in the right way, I was mentioning just briefly before on the fact that we have certain opportunities that we want to bring into the market in the next couple of years, starting from 2026 onwards.
GregMaffei: So I could just add on what Stefano said. Look, you weigh, I think it's not unlike your sports rights question, which I'll get to in a sec. You weigh what's the appeal of the venue and what are the economic opportunities for us? And in general, if you see us cut a very long deal, you must think, we think it's a pretty good opportunity both on the fan basis and on the economic basis. You see a shorter term deal that's open to question. And so we weigh all of those. On the sports rights, clearly, the world has gotten more muddled, as you suggested. In general, more people bidding, that's a positive. Also more sports, that may be a challenge. And then the issue of fragmentation and trying to find where your sport is for your fans and making it easy. We are always looking, particularly given our big sponsorship business, on the tradeoff between reach and what we get paid. So lots of factors there. Overall on whether you're positive or negative, I would note -- I feel very positive about the sports properties we're involved with. Why? Both have incredible fan demand, have high ratings relative to what they get paid. Both have a passionate fan base, as I suggested. Look at the ratings for where the Braves are, look at who is watching F1 and where they're willing to get up and watch it early in the morning, both of them are not hugely monetized relative to what some of their peers are monetized. And I think if you look at sports rights in general, you've seen renewals on properties that did not necessarily have massive growth and still get more money. So I remain in general bullish on sports rights, given the multiplicity of buyers and in particular bullish on the sports rights for the properties we're involved in.
Peter Supino: That's a great answer. Thank you. And if I could pile on with one, since my esteemed colleagues seem to be comfortable doing the same. I wanted to ask you on the U.S. media rights for F1, the ESPN renewal. It's generally understood that ESPN doesn't earn much advertising revenue on that contract. And so how do you think about the case for them paying more?
GregMaffei: I think the case and obviously, I have a little bit of bias for this. I think the case is pretty easy. You've got one of the cases where you have massive growth in fan interest and we can show statistically how much our fan interest has grown across all sorts of platforms. We have a very desirable, upscale audience. We have a younger audience, a lot of factors that they would like to bring to the party, ESPN or anybody else, not to limit it to that. So I think there are a lot of reasons why we can make the case that our media rights in the U.S. are more valuable and there will be likely a multiplicity of players and we will likely get a better number.
Peter Supino: Thank you all.
Operator: Thank you. Our last question is from Jeffrey Wlodarczak with Pivotal Research Group. Please proceed with your question.
Jeff Wlodarczak: Good morning, guys. I had a follow up on Vegas. Do you anticipate after your Vegas experience taking a promoter role in more races, I guess post '25? And then specifically on your decision not to let it in the 11th team, I guess, can you even -- I guess, can you provide color on that? And then do you need a new Concorde Agreement to raise the entry fee to make more teams more palatable for the existing teams? Thanks.
GregMaffei: Thanks, Jeff. I'll touch on the first part about promotion or copromoting or you'll see my answer. And then, Stefano, maybe you will comment on the 11th team.
Stefano Domenicali: Yes.
GregMaffei: So on promotion. Look, I think we went in and promoted Vegas for a variety of reasons. We thought it was a unique opportunity to promote the sport. We thought it was a unique economic opportunity. We thought we would learn a lot about being a promoter and make us more credible with other promoters. I do not know that there are many opportunities out there like Vegas where we're going to say we absolutely want to do this. There may be opportunities in the future where we can partner with promoters. Some promoters are short on capital, some promoters are short on some skills, and there are things that we could bring to the table. But in many cases our promoters bring local knowledge, local contacts, local strengths that are very valuable. And we wouldn't necessarily be able to supplant those. So in some way to think about enhancing that and working together, I think that's the more likely path than thinking we're going to become a promoter of a bunch of races.
Stefano Domenicali: And yes, Jeff, with regard to the second question, 11th team for sure is a point related to the Concorde Agreement. It is a point of a joint work that has to be done between the FIA and F1 in regard to the different kind of evaluation that we need to do. So I think that with regard to what has happened, I think that the process has been followed and we presented the result in the right way. For the future, it's a matter of discussion, of course, with the teams, with the right commercial and technical proposition that will be discussed accordingly in -- within this year.
Jeff Wlodarczak: Thank you.
Greg Maffei: All right. Thank you. I believe that was our last question. Thank you again to the listening audience for both your interest in Liberty Media and the Braves. We look forward to speaking with you again next quarter if not sooner.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.